Peter Felsbach: [Foreign Language] [Starts Abruptly] Voestalpine Digital Press Conference again. I think this is a good idea against the background of the infections in Austria. We are very happy to present better figures than 12 months ago when we presented the last half-year results in spite of the ongoing pandemic and the many challenges we see. So the press conference in a digital form is unchanged. We have a 30-minute presentation of the Management Board and afterwards you have the opportunity to ask questions. So please log into the system 5 minutes before you ask the questions. You will find access data on our website. You also have media information on the website, the press release and also updated photo and video material, www.voestalpine.com in the Media section. I would like to introduce the speakers today, CEO, Herbert Eibensteiner, will start with the review of the past six months of the current business year and will give you an outlook towards the end of the business year until end of March 2022. And CFO, Mr. Ottel, will give some explanations behind the KPIs. So much for an introduction, I would like to ask the CEO, Mr. Herbert Eibensteiner to start with his presentation. Mr. Herbert Eibensteiner, please.
Herbert Eibensteiner: Ladies and gentlemen, I would like to welcome you most cordially to the presentation of the environment and the KPIs of the first half of Voestalpine's business year. Let me start with the beginning of the first half of the current business year. Right at the beginning of the first quarter, we saw soaring demand. In some areas, we also saw an overheating of demand. High demand stabilized over the summer. Basically, we saw solid demand in most essential market segments in the construction, engineering and we see that there is a rebound in the oil and gas industry, the energy industry due to rising in the energy prices and also due to the investment levels that are rising at the moment. So the oil and gas industry recovered and we also see that the aerospace industry is slightly rebounding. We see increasing demand from the aerospace industry, in particular, for short and medium range airplanes. And we also expect an improvement of the situation in this segment towards the end of the year. We also had problems in the supply chain, in particular, with relation to the European automotive industry. After the summer, we also felt the first consequences of that. As far as the global economic environment is concerned, we saw positive trend, of course, with regional differences. North America, for example, has high dynamic, high demand and high growth rates, which is still persisting. We also see high employment there in Asia, especially in China. After good economic development towards the end of the first half of the business year, we saw that dynamism to level out. But over the whole year, we expect solid growth. Europe lagged a little bit behind, but we also see a good demand environment in Europe in all essential sections or business segments with the exception of the automotive industry, of course, which is hit by a scarcity in semiconductors. As far as South America is concerned, basically, Brazil for first, we have a good -- we see good performance against a good business environment and also benefited from the good development there. Let me continue with key figures. Mr. Ottel will present these figures in more detail a little bit later. Revenue here we see a marked increase to €7 billion, and this is also evidence of the boost that we saw in the first quarter as well as partly in the second quarter. What is also very pleasing is earnings, EBITDA €1 billion and EBIT of approximately €650 million for the first six months. We are very happy about these figures. And what is important is that against this backdrop, against this background, we succeeded in reducing net by that financial debt of the Group. Our employees did a sterling job, I would like to thank our employees for that and that takes me to employment, we have 49,000 employees. Again, that's an increase as compared to the last half year, of course, also based on the high demand that we saw in the first half year. Voestalpine is growing, but doesn't forget to think about the green future, a sustainable future. You know that de-carbonization of our steel production is an essential part of such a green future, a path to a green future. Voestalpine is committed to the agreement on -- to the Paris agreement on climate change. We are working hard to find a path to climate neutrality with greentec steel until by the year 2050. CO2 reduction can only be provided by a technological transformation. We have a project greentec steel and we have a clear path in this direction up until 2030 by partly switching from a blast furnace to steel production using electricity, we want to reduce CO2 emissions by about 30% and by 2050 a green hydrogen will play an ever more important role in production, so that by 2050, we will have a CO2 neutral production. What is important is, of course, green electricity, that's the solution for these technologies, which means that we made green electricity in sufficient volumes and also at digestible prices. We also need the energy infrastructure in order to achieve our long-term goals. I talked about hydrogen, you might know, and you also see it in the picture, we have a pilot plant, where we can produce a green hydrogen, that's a research project. This research project will expire towards the end of the year and we will continue to operate this plant. Currently, we are thinking about how to use green hydrogen in future. I would like to give you an example today that reduction of CO2 and sustainability issues do not only limit themselves to the Austrian plants, but play a very important role throughout the Group. We already have Group-wide photovoltaic plants 310,000 square meters, which are installed or currently being implemented in Austria. This amounts to 100,000 square meters, this is 10 hectares. The performance of such PV plants are approximately 60 megawatts. It's a first and important step to a green in-house energy supply. I talked about the lines and cables in order to supply Linz and also Styria, and we are currently preparing the 220 KV cables and this is a very positive thing to announce. All these are our processes and issues resulted in a certification of Voestalpine by responsible steel, we are the first steel producer to start -- received a certificate for sustainable steel production. I'd like to pass the floor to Robert Ottel to present the figures of the first half of this year.
Robert Ottel: Thank you very much, Herbert. I'm deeply sorry that I can't meet you in person. I miss you. I don't know whether you miss us, but direct exchange of ideas, exchange of information has always been an interesting process. It was more interesting and enthusing than looking into camera definitely, but this is due to the current circumstances and I do hope that when presenting the year end results, we can meet you in person again after so many months of not having seen us. The first half of the current fiscal year was a good one. It wasn't the best one, it was the second best year at least as far as I recollect. If you compared with the first quarter of 2021, of course, we are comparing our figures with the COVID half year, the worst half year of the past years or decades, of course, revenue rose by almost €2 billion, why did we see increasing revenue, 50% by an increase in volumes, demand of our customers and the other half by rising prices driven by higher material and energy prices, raw material and energy prices. The operating result, EBITDA rose from €400 million to €650 million, so half of it due to more higher volumes and the other half resulting from better prices. EBIT as opposed to EBITDA, EBIT from the previous year was influenced by an impairment loss of almost €200 million. And this is the reason why EBIT was negative and this is why the difference in the EBITDA is smaller and EBIT, the difference is higher. We are reducing our debt, I will show that in the next slide, and this means that the difference between EBIT and EBITDA is smaller because we don't have to pay so much interest. Profit before tax €611 million and profit after tax, almost €500 million, this is a respectable result, which helps us also, thanks to the rather modest expectations in terms of dividends of our shareholders, this helps us to increase our equity. You can take that from the blue bars that equity rose by €500 million minus €100 million dividend payment. This was the driver for the reduction of the gearing, that is to say, the relationship between net debt and equity. You see that we could not reduce net debt as compared to the year-end of the last fiscal year. Why was that so? Although, we have a good economic development, but also because we have a good economic development, it was necessary to have higher raw material inventories and we also had higher prices. And this resulted in an investment in working capital of almost €500 million. This trend is not expected to continue in the coming six months, at least according to my opinion. If we look back to the end of 2019, we had €2 billion more debt and together with all our employees and all our colleagues, we could pay back debt in the amount of €2 billion in the past two years. This trend of reducing our net debt will continue in the next six months. And this will mean that we have leeway to invest in attractive business segments, to invest in and extend interesting business segments. What we are planning will be presented by Mr. Eibensteiner.
Herbert Eibensteiner: Ladies and gentlemen, let me continue with the outlook. The first half year was marked by strong recovery. We expect cash raw material prices to remain volatile. We saw that towards the end of the second quarter, energy prices increased markedly. And we also saw that supply chain problems in the automotive industry I expected to continue well into the next year. This means that production plants will also be shifted to the next year, but we expect all other market segments to show a positive development. And this is why, our outlook for the business year '21-'22 remains unchanged. We expect an EBITDA between €1.2 billion and €2.2 billion at the end of this fiscal year. This means that we will continue the positive development of our company. Now, we are here to answer your questions. Thank you very much.
A - Peter Felsbach: Thank you to the members of the Management Board for presenting the figures. We will continue with questions. Here you see how you can ask questions on the one hand via telephone. It will take three to five minutes until you are caught in the system. And it will be your turn in the series of requests. We'll also find a final confirmation number, but you can also send us question via email mediarelations@voestalpine.com or via Twitter #voestalpinemedia. So let's have a look. We see that the first already dialing in, so it takes a little while and then we start with the question-and-answer session. We have already received the first questions, Ms. Kneidinger from Kronen Zeitung. Welcome. Please ask your question.
Barbara Kneidinger: Good day, Mr. Eibensteiner, a question relating to the corona situation. Austria and Upper Austria sees soaring infection rates. What about the situation at Voestalpine, are there limitations in production, because you see corona clusters? What our precautions is Voestalpine taking to avoid shutdowns?
Herbert Eibensteiner: Good morning, Ms. Kneidinger. We haven't had any production problems caused by corona. As you know, we have this new 3G rule. And finally, we know what to do. It is all clear what has to be done. Of course, we will implement the 3G rule. For us, health and safety of our employees is key. As far as the current regulations are concerned, testing is important. How do we react to the current situation? We try to find and -- to make sure that our employees have access to test capacities and we also will prepare the logistics for the evaluation of the tests. Employees are commuting to our locations and also are working in shift patterns. And what we want to do is to make sure that testing is possible and we want to make sure that our employees have access to tests. And we think setting some measures we can keep infection rates low. As far as COVID is concerned, we are already preparing for the third jab or for virgin jab, so to speak. We are planning to set up again vaccination capacities, because the employees that were vaccinated before the summer would have to receive their boost in November and December.
Barbara Kneidinger: Another question in relation to tests, what does that mean in Linz, Donawitz, Kapfenberg, do you have PCR testing stations?
Herbert Eibensteiner: We are trying to get gargling tests and take over logistics and send the tests to the laboratories for evaluation.
Barbara Kneidinger: Thank you.
Peter Felsbach: Thank you. Please note that you can dial in if you are in the system and wanted to ask your question, please use asterisk one in order to make sure we can hear your question. We see that we have some people in the system that haven't registered for questions. So we'll give you a further one or two minutes to dial in and to answer your questions. We have a written question by courier Mr. [Presburger]. I read the question to you, the European Union and the U.S. found an agreement in the customs problem. What about this agreement? Is it currently implemented and how do you comment this tariff topic in hindsight?
Herbert Eibensteiner: Voestalpine was hit by the Section 232 customs tariffs. Of course, we paid customs tariffs and all divisions had a high administrative burden. To qualify for exemptions in the U.S., the new regulation, which will come into force on the 1st of January is positive, because we will have a quota system. We can supply to the U.S., without paying customs tariff in a certain bandwidth. Of course, this will have positive effect for our two business in the oil and gas business.
Peter Felsbach: Next question via the phone, Sigrid Brandstätter, Oberösterreichische Nachrichten. Please ask your question.
Sigrid Brandstätter: Good morning. I have several questions relating to the forecasts. Mr. Ottel said that it's the second best result. If we look back to the previous years, the half year '17-'18, we had an EBIT that was even higher than this year. So please come back to the outlook and the forecast, will this be a record year? If you extrapolate revenue and earnings and by simply multiplying them by two, this seems to be a record year and this also means that the crisis -- left the crisis behind and overcome the crisis?
Robert Ottel: I am not certain that we will have a record year. You saw the outlook, as presented by Mr. Eibensteiner. If we have the maximum of the outlook, it's a record year. If we stay in the bandwidth, it's not a record year. So the answer, will it be a record year? Do we expect a record year? No, I can't give you any change of the outlook that was already presented.
Sigrid Brandstätter: Let me continue with the question relating to the divisions or the business segments. The result seems to be driven by the steel industry EBIT margins of 13% to 14%. Could you be a little bit more precise where this comes from, because of the steel industry, the steel segment is the segment that normally would suffer from the standstill in the automotive industry, which is a very important customer segment?
Robert Ottel: Your observation is right. The result is very much driven by the steel division of €650 million EBIT, €370 million resulting from the steel division. And the steel industry, yes, has market exposure to the automotive industry, which is suffering from supply chain problems in the semiconductor industry and changes to their demand policy and, of course, in the second quarter of this year, we see volume reductions also in our deliveries to the automotive industry. We also know that we have a long-term customer structure when mixing the contract structure, we see a positive development and we can also pass on price increases to the customers. As far as second half year -- the second quarter is concerned, we saw lower volumes due to the problems in the automotive industry. But we also saw higher margins. So the automotive industry, of course, has an impact on the steel industry, but this is compensated by better prices and by a better contract mix.
Sigrid Brandstätter: Let me also ask a question relating to the COVID situation. You say you've tried to get gargling tests, but at the moment, the company doesn't have capacities to offer PCR tests in the company.
Herbert Eibensteiner: So, the tests have been ordered and at the moment, we have this transition until -- we have a transition period and it will be possible to have sufficient tests for our employees.
Sigrid Brandstätter: Thank you very much. Another question relating to the situation in the USA and with the customs tariffs, you talked about the administrative burdens. Can you also give us your expectations how this agreement will translate in monetary terms?
Robert Ottel: I don't dare to estimate how much the financial, the costs were for this administrative work. Mr. Eibensteiner, said that Section 232 tariffs hit the companies that produce in Europe and export to America. That's the seamless tubes production in Styria, which, of course, has other markets as well. But the U.S. is a very important market for them. The market, of course, we deliver to that market, also under the 232 tariff scheme and we paid the tariffs. As soon as we continue with our deliveries and we don't have to pay the tariffs, of course, this is a financial advantage, which will improve the tubular's result in Kindberg.
Sigrid Brandstätter: And the last question relates to capacity utilization. Do we have sufficient capacity utilization or do we have segments that lag behind? You said that demand from the oil and gas industry is recovering. Are you working full capacity or do we have -- do you have room to maneuver?
Herbert Eibensteiner: In most segments, we have a very good and high capacity utilization. Of course, in segments where we are supplying directly the automotive industry, we are had to adapt to lower demand and of course, this happened partially. We, of course, would have additional capacities available. So, of course, we had to adapt our capacities. If we look to the aerospace industry, we see increases in short and mid-range planes, but there is still capacity as far as long range planes are concerned.
Sigrid Brandstätter: Thank you very much.
Peter Felsbach: So we have also received a number of written questions, which I will read out. Let's start with Bloomberg. First question, limitations in zinc production by important European producers, is that limiting your production in zinc products? And second question, will the hot rolled coil prices fall? Or how are they probably developing in the long-range average or what do you expect?
Herbert Eibensteiner: So, as far as the first question is concerned on zinc supply, at the moment, zinc supply is good and we have good supply until the next year. We are not affected by problems in the delivery. And as far as steel prices are concerned, this is always a very difficult topic. You know we are having long-term contracts and don't have so much spot contracts. We have long-term contracts with our customers. We had a peak in summer in spot prices. Prices have gone down again and stabilized at a rather high level.
Peter Felsbach: Thank you. Next question, [Klinische]. What do you think about the chip scarcity in the automotive industry, some say 2022, some say this will last until 2023?
Herbert Eibensteiner: So there are diverging opinions. What we hear from our customers is that they expect the shortage to last until 2022 and then there will be a recovery.
Peter Felsbach: Thank you. Next question to you, Mr. Eibensteiner. You say that you are thinking about further using the pilot plant, the hydrogen pilot plant. What options do you have? Do you expand the plant? And do you need state financing? What are the factors that -- what are the key factors? And did -- was the plant successful? The question was asked by Monika Graf, Salzburger Nachrichten.
Herbert Eibensteiner: We tested this pilot plant for several years. It was a new technology. So we know the efficiency and efficacy. We know how to operate such a plant. We know about safety concepts. Hydrogen is highly combustible, so we know about all that. We will further develop this project. The hydrogen hasn't been refined, finally isn't dried and condensated in order to transport it or to further use it. We will think about ways of doing that in the follow-up concept.
Peter Felsbach: Thank you. Two questions by Kronen Zeitung via telephone, Mr. [Ableton] and Ms. Kneidinger.
Unidentified Analyst: Hello. Thank you very much. I would also like to ask a question relating to hydrogen. There are clear demands for state aids from the industry. So what do you think is necessary and which are volume -- which volumes are we talking about, which volumes would first need for fully supplying the locations with hydrogen? You also talked about the aerospace industry. What do you think -- what about the future development, production of new jets? Will the production of new jets reach pre-crisis levels? What do you think?
Herbert Eibensteiner: Hydrogen is an intensely debated topic. As you answer said, at the moment, hydrogen that is produced from natural gas is -- of course, has a CO2 footprint and is cheaper than green hydrogen, which we are producing by electrolysis in our plant. So it's a factor 1:3, 1:4 as far as the costs are concerned. So it's 3 times, 4 times more expensive than hydrogen that is produced from natural gas. This gap will probably close overtime when plants are getting larger, when energy supply with green electricity will be cheaper as well. But I think the most decisive thing is that we have green energy at economical prices for the production of green hydrogen. So all types of funding or subsidiaries are of course welcome.
Peter Felsbach: Ms. Kneidinger?
Unidentified Analyst: I have a question relating to the semiconductor delivery problems. Mr. Eibensteiner, you talked about capacity adjustments. What does that mean? Is there already short time working schemes or what are we doing with the free capacities? Can they be shifted to other business segments? Do you have time accounts where people accumulate minus hours?
Herbert Eibensteiner: You all most mentioned all ways of how we can solve this problem. In the German automotive, in the German plants that are depending on the automotive industry, we have short-term working schemes where a certain number of employees has been register for short-term working schemes. And here we also can react to short-term changes in demand. Here in Austria, we don't have any short-term working schemes. Here, it's about consuming over time. Then we have the segments that have a high utilization and we have shifting of employees among the companies in order to cope with rising capacity. So in Austria, we don't have any short-term labor. As far as Germany is concerned, yes, there are o such systems.
Robert Ottel: Let me come back to a hydrogen production, the question that we heard before. So the question was we have a place plant that was erected for research purposes. It is a research plan we need, the 500 full capacity to fully supply our plants. This would be 3,000 megawatts or an energy supply of 27 terawatt hours per year. And I think this illustrates and undermines what Mr. Eibensteiner said, that, of course, power and power supply is most important to support such a transformation.
Peter Felsbach: Thank you very much, Mr. Ottel. Next question, Ms. [Ungerberg] from Standard. Let me read the question. What about the wage agreements of the metal industry? It's very high as employers and economists say and what does this new wage agreement cost the Group?
Herbert Eibensteiner: It was a high increase of wages and for Voestalpine, of course, it means that we have to compensate the costs with efficiency boosts. The cost roughly is a middle double-digit million euro amount.
Peter Felsbach: Thank you. Next question by Mr. Hager. Gentlemen, up until 2030, you planned to switch electric arc technology to switch steel production to green steel. Would we need a green Danube? Where do you want to take green electricity at competitive prices in future?
Herbert Eibensteiner: If you look at greentec steel in the first step, we have a partly transformation from blast furnace technology to electric arc technology. And power demand is much lower and this is why we chose this path. And we think by taking this first step, we can produce 2.5 tons of steel with CO2 -- with reduced CO2 emissions.
Peter Felsbach: Ms. Haase from Kleine Zeitung. First question, after reduction of employees in the aerospace industry in Styria, will you increase number of employees? Second question, give us an update on Styria, Kapfenberg, other further problems caused by supply problems and the second part of the question, we will ask after the first questions have been answered.
Herbert Eibensteiner: As far as increasing headcount for the aerospace segment, yes. In Kapfenberg, in the aerospace segment, we are currently building up our workforce. As order income is increasing as I said before, as far as tubulars are concerned, we already have increased the number of employees. And we think of that in the coming months in most segments, we will have pre-COVID levels, pre-COVID headcount. Second question, Kapfenberg, I think you mean the steel plant?
Peter Felsbach: Steel plant in Kapfenberg.
Herbert Eibensteiner: Basically nothing has changed. As far as the situation is concerned, it has already been communicated. We are working hard to finish the plant, and as already communicated, we will start full operations mid next year.
Peter Felsbach: Second part of the question of Ms. Haase. Mr. Ottel, financial advantage for tubulars in Kindberg, or what can you name that? Another question relating to the price level. I think it was already answered. What is your view as far as price trends are concerned? And the third question relates to segments, which you are planning to expand?
Robert Ottel: We had €40 million in Kindberg that had to be paid in terms of tariffs. So that was the year that was the tariffs that we paid for the year.
Herbert Eibensteiner: So, it is always difficult to anticipate price trends. Prices are formed by supply and demand and we are very positive as far as future outlooks, the future outlook is concerned. Demand is expected to remain high. Given the increase in energy prices, we are forced to pass on the price increase to our customers and we will charge higher prices. As far as business segments in which we are planning to grow or concerned, in segments where we have innovative products, high-quality products, we will have an opportunity to grow, and we plan to grow together with our customers. We are developing new products and, of course, want to deliver such new products. That's one way of growing. And another way of growing is inorganic growth by acquiring other companies. This can happen in segments where we see profitable developments with a good return. And then these will be the segments where we plan to grow. In terms of volumes, we will not grow in the steel industry. We are focusing on high quality products.
Peter Felsbach: Please let me again remind you of the fact, if you want to ask your question press asterisk one. So much for telephone questions and we will close the telephone line at 11 o'clock. So Sigrid Brandstätter, from Oberösterreichische Nachrichten has another question.
Sigrid Brandstätter: I wanted to ask questions relating to the topics that kept us busy in the past years. What about the situation in Texas in the HBI plant as far as the financial situation is concerned and capacity utilization is concerned? And as far as Cartersville is concerned, what about restructuring of that plant? And please also give us financial information.
Robert Ottel: So the first half year, the HBI plant is over. We saw very good development and good demand development in the U.S. And this is why we saw a positive development in Texas. The market is positive. We have a planned shutdown in Texas, but we don't expect any major changes in the market environment. And we hope that we will see that in future, we will see more electric arc technology in the U.S. and we see that very positively. As far as Cartersville is concerned, we already had improvement last year. These improvements stabilized at a certain level, but we have to admit that even if the U.S. was not hit that hard by semiconductor supply problems, the automotive industry was hit. But the -- the enormous losses that we had in Cartersville have not occurred anymore.
Sigrid Brandstätter: Let me come back to the HBI plant. What is the capacity utilization at the moment? What is the production volume, production output?
Robert Ottel: Mr. Eibensteiner described the market situation, which is very attractive and everything which we produce can be sold. Of course, due to the planned shutdown, the annual capacity is lower. But as far as the sales side is concerned, we are working full capacity.
Peter Felsbach: Mr. [Ruprecht] from [OREF] would like to know from Mr. Eibensteiner. If Voestalpine was surprised by the semiconductor problems over the summer and how the Group reacted?
Herbert Eibensteiner: We were not surprised. We have permanent contacts with our customers and know when there are problems in the supply chain. Of course, we are hit by a certain degree, and as I already said, before we are adjusting to the situation. We have fluctuating call-offs of our customers and we are adapting to this situation. And as I said before, in plants in Germany, we registered some employees for short-term labor in order to be able to react more flexibly to the demand situation. Basically, we were not surprised, but in some plants and some locations, the changes in the call-off behavior of our customers were difficult to foresee and it was difficult to coordinate that in our production. And, of course, we had some problems, and we had a negative effect due to the change in behavior of the customers in their call-off behavior we had problems in some locations.
Peter Felsbach: Thank you very much. We have another question via telephone and by mail Ms. Ungerberg from Standard. Tubulars, how has the business development in the tubulars segment, did you reach pre-crisis levels? And second question, are there backlogs or rather reluctant demand in other segments? And here in other question relates to short-term working schemes and another question related to Cartersville, which was already answered. What does the ban on combustion engines mean for the automotive sector in the medium and long-run, is voest preparing to this situation and will demand of the automotive industry change and will this have an influence on the sales of voest?
Herbert Eibensteiner: And as far as tubulars are concerned, Ms. Ungerberg, we have a 3.5 ship plus capacity utilization. This is very high capacity utilization and can be compared to pre-COVID levels. As far as combustion engines are concerned and the ban on combustion engines, let me state that our products are included in the body-in-white tool manufacturing and very low components in a combustion engines. This means that transformation to electric vehicles or hybrid vehicles can, of course, be accompanied by us. It's not a disruptive development at least in our view. We have a transformation towards e-mobility and we see chances for voest when thinking about the electric arc technology, and we took the challenge -- took up the challenges and converted them into benefits. And the battery box also needs crash-resistant parts and here we have high quality products, which will be another business opportunity for us. Yes, there is this transformation and, yes, Voestalpine can accompany this transformation from combustion engines to electricity.
Peter Felsbach: Next question is from Ms. Haase from Kleine Zeitung.
Claudia Haase: Good morning. I have a question relating to Glasgow, which impact do you see -- do you expect on the global steel industry or don't you think that there will be an impact by the Glasgow on the steel industry?
Herbert Eibensteiner: The talks in Glasgow are ongoing. We see different speeds in CO2 reduction in different areas in the world. We have ambitious goals in Europe, then we have more long-term goals in China, even longer-term goals in India. I think this is a difficult political topic. We ourselves are focusing on Europe, because we have our steel production here and we have a clear situation or clear legal situation. We have the Emission Trade Act. We have the climate goals Fit for 55. Will be worded in the coming years, finally worried in the coming years. For us, the development in Europe is, of course, essential, but we also see that we don't have a level playing field as far as the climate measures are concerned in the various parts of the world.
Peter Felsbach: Okay. No questions. Thank you. All questions that have been asked via mail or via telephone have been answered. It took us exactly an hour that it takes us to the end of the presentation of the half-year figures. I would like to thank the Board for the presentations. I'd like to thank you for the questions for having been with us. And I'd like to sign team behind the cameras, behind the schemes, we will publish the Q3 figures at the beginning of February. Stay healthy, stay in good mood although we have the COVID situation. Thank you very much. Stay healthy you and your families and goodbye from Linz. See you again.